Operator: Good afternoon. Thank you for attending the Laird Superfood, Inc. Third Quarter 2025 Financial Results Call. My name is Matt, and I'll be a moderator for today's call. [Operator Instructions] I'd now like to pass the conference over to our host, Trevor Rousseau, Head of Investor Relations with Laird Superfood. Trevor, please go ahead.
Trevor Rousseau: Thank you, and good afternoon. Welcome to Laird Superfood's Third Quarter 2025 Earnings Conference Call and Webcast. On today's call are Jason Vieth, Laird Superfood's President and Chief Executive Officer; and Anya Hamill, our Chief Financial Officer. By now, everyone should have access to the company's earnings release, which is filed today after market close. It is available on the Investor Relations section of Laird Superfood's website at www.lairdsuperfood.com. Before we begin, please note that during this call, management may make forward-looking statements within the context of federal securities laws. These statements are based on management's current expectations and involve risks and uncertainties that could cause actual results to differ materially from those described. Please refer to today's press release and other filings with the SEC for a detailed discussion of these risks and uncertainties. And with that, I'll turn the call over to Jason.
Jason Vieth: Thank you, Trevor, and good afternoon, everyone. Thank you for joining us today for our third quarter 2025 earnings call. I'm pleased to report another quarter of solid top line growth as we continue to execute on our strategy to build Laird Superfood into a leading player in the premium plant-based functional food space. Net sales for the third quarter increased 10% year-over-year to $12.9 million, driven primarily by strong performance in our wholesale channel. For the first 9 months of 2025, net sales were up 15% to $36.5 million. Our wholesale channel continues to be a standout with net sales up 39% in the quarter and 40% year-to-date. This growth reflects our focused efforts on expanding distribution, particularly in grocery and club stores, where we've seen robust velocity gains and increased shelf space. We're seeing strong consumer demand for our core products like coffee creamers, hydration enhancers and functional beverages, as shoppers increasingly seek out clean, functional ingredients that align with healthier lifestyles. The wholesale channel contributed 53% of net sales during Q3 and through the first 3 quarters of 2025, represented 49% of our total net sales. This is well aligned to our strategic intent of transitioning Laird Superfood to being a wholesale-led company. In our e-commerce channel, which represented 47% of net sales in the quarter, we experienced an 11% decline year-over-year, primarily due to softness in our direct-to-consumer platform from lower new customer acquisition. However, this was partially offset by continued growth on Amazon.com. Year-to-date, e-commerce was relatively flat, and we remain optimistic about this channel's potential as we refine our digital marketing strategy and leverage our loyal repeat customer base, which accounted for about 88% of DTC sales in the quarter. Gross profit for the quarter was $4.7 million, down 7% from the prior year, with gross margin contracting to 36.5% from 43% last year. This was fully expected and largely due to commodity cost inflation and channel mix shifts towards wholesale, but also due to the nonrecurrence of a onetime supplier settlement benefit that we recorded in Q3 of last year, which impacted margins by about 3 points. Year-to-date, gross profit increased 9% to $14.4 million, as we have managed to offset a good portion of the commodity and tariff impacts that have swept the national headlines. Anya will provide more details on our financials in a moment, but overall, these results demonstrate the progress that we're making in scaling our business while navigating a dynamic market environment. Turning to business highlights. We're excited about the momentum in our wholesale expansion. We've continued to add distribution points at major retailers and our velocities in core categories like shelf-stable creamers continue to outperform our expectations. This validates our focus on premium functional ingredients that resonate with consumers, shifting away from sugar laden and artificial options. On the innovation front, we're continuing to invest in product development to diversify our portfolio and drive repeat usage. We are excited to be launching our new protein coffee in the next month, and we have already begun shipping our new liquid creamer products. On liquid creamers, this marks an enormous improvement to our existing formulation. We've now replaced the coconut oil with organic coconut cream, increased the level of adaptogenic mushrooms and replaced cane sugar with lower glycemic index coconut sugar. The resulting taste and texture are far superior to our previous products, and I would dare say the best tasting and healthiest products on the market. We are relaunching these creamers as organic formulations and packaging them in a post-consumer recycled plastic bottle that will be really attractive on the retailer shelves. Now back to protein coffee. We have high expectations for this launch. This marks Laird Superfood's first foray into dairy products, a market which is somewhere around 10x as large as the plant-based market that we have been participating in to date. And the product that we are launching is dynamite. It's a high-quality freeze-dried coffee, blended with 10 grams of dairy protein per serving, perfect for anyone looking to add protein to their diet. And with low calories and no sugar, it's also a perfect fit with today's health and wellness trends and great support for anyone taking GLP-1s. As part of our strategy to streamline operations and focus resources on our highest growth opportunities and Laird Superfood brand, we've made the decision to discontinue the Picky Bars brand in the second quarter of 2026. This will allow us to redirect investments toward the core Laird Superfood brand, which we believe has the strongest potential for scale. In connection with this, we recorded a $661,000 impairment charge in the quarter related to Picky Bars intangible assets. From an operational standpoint, we were able to reduce our inventory by more than $1 million in the third quarter. You'll recall that we had strategically built our inventory through the first half of 2025 in order to meet rising demand without the out of stocks that we experienced last year and to mitigate the impact of tariffs on imported raw materials, particularly from Southeast Asia. As we continue to sell through this inventory in the coming quarters, we expect cash flows to improve as a result. And speaking of tariffs, I am also pleased to be able to report that we recently were informed that our coconut milk products will not be subject to additional tariffs, reducing the impact on our go-forward costs and improving our 2026 financials by more than $1 million. For the balance of 2025, we're focused on optimizing our supply chain, managing costs and driving efficiencies to expand margins over time. We'll also continue to monitor the macroeconomic factors like commodity inflation and potential trade policies, but we're well positioned to navigate them as we close out this year and head into 2026. Q3 was another step forward in our journey to build a scalable, profitable business. We're executing on our plan, and I'm excited about the opportunities ahead. With that, I'll turn it over to Anya for a more detailed review of our financials.
Anya Hamill: Thank you, Jason, and good afternoon, everyone. I will now provide you with some additional details on the third quarter of 2025 financial results and our outlook for the full year performance. I am pleased to report another robust quarter for Laird Superfood highlighted by double-digit top line growth, healthy gross margins, positive adjusted EBITDA and $1.1 million of positive operating cash flow. Net sales grew 10% to $12.9 million compared to $11.9 million in the prior year period and $12.0 million last quarter. And excluding Picky Bars products, net sales increased 14% in the third quarter. Although net sales growth came in softer than anticipated, primarily due to the timing of large wholesale customer orders, our underlying fundamentals remain strong and unchanged. Our wholesale channel continued to deliver exceptional momentum, increasing 39% year-over-year and representing 53% of total net sales, driven by ongoing distribution gains in both grocery and club. E-commerce sales declined 1% year-over-year, reflecting softness in DTC though this was primarily offset by continued growth on Amazon. Overall, the e-commerce channel contributed 47% of total net sales. Gross margin in the third quarter delivered robust 36.5 points compared to 43.0 points in the corresponding prior year period. It is worth noting that prior year Q3 margins have benefited from onetime favorable supplier settlement that accounted for approximately 3 points of gross margin. Excluding that onetime benefit, Q3 gross margins were about 3.5 points lower than corresponding prior year period and 3.4 points lower than the second quarter of 2025. These results are in line with our expectations given commodity inflation in our key raw materials, such as coffee and coconut milk powder and increased tariff costs. We are confident in our ability to hold gross margins in upper 30s for full year 2025 and beyond, which is at the level of best-in-class CPGs, despite inflationary pressures and even without using pricing as a lever. Our supply chain team continues to drive efficiencies by directly partnering with key raw material suppliers, and co-packing partners to find cost savings to offset rising commodity costs. Operating expenses increased $0.4 million in the third quarter compared to the same quarter last year, driven by increased marketing investment and advertising costs as well as increased selling costs due to higher sales volume. General and administrative expenses were relatively flat during Q3 of 2025 with Picky impairment charges, largely offset by decreased personnel costs and professional fees. Net loss for the third quarter was $1.0 million compared to $0.2 million loss in the prior year period. The increase in net loss was primarily due to $0.7 million impairment charge of long-lived intangible assets related to the Picky Bars brand as well as higher marketing and selling costs on higher top line sales. This was offset in part by decreased personnel costs. Adjusted EBITDA was positive $0.2 million compared to $0.1 million in the same quarter prior year. The improvement in adjusted EBITDA was driven by top line growth and discipline around cost control as we are well on the way to breakeven and profitability. Now turning to our balance sheet. We ended the quarter with $5.3 million in cash and no debt. As we discussed last quarter, we made targeted forward purchases of certain raw materials earlier this year to mitigate tariff-related cost increases. During the third quarter, we began drawing down this inventory, reducing our position from approximately $11 million to $10 million, while increasing our cash balance by $1.1 million quarter-over-quarter. We expect to continually building our cash position in the fourth quarter and into early 2026, as inventory continues to convert to cash. We exited the third quarter with solid momentum in our core categories, a strong innovation pipeline and continued confidence in our team and our brands. While macroeconomic uncertainty, particularly with e-commerce channel and the timing of large customer orders are impacting our near-term top line, our underlying fundamentals remain strong. Reflecting year-to-date trends and these time and effects, we are updating our full year 2025 net sales growth expectation to approximately 15% growth. We continue to expect gross margin to hold in the upper 30s range and to achieve breakeven adjusted EBITDA for the full year. We also remain confident in our ability to deliver a strengthened cash position, supported by our disciplined execution and positive operating cash flow in the third quarter. And now I will turn the discussion back to the operator and open it up for questions.
Operator: [Operator Instructions] First question is from the line of Eric Des Lauriers with Craig-Hallum.
Eric Des Lauriers: Great. First one for me, I just wanted to zero in a little bit more on the guidance. So certainly understand the volatility and size and timing of some key customer orders in the wholesale channel. I guess I was just a little confused if this negatively impacted Q3 results or Q4 or maybe both? If you could just give bit more color on perhaps where this timing shifted to, would be helpful?
Jason Vieth: Yes. Eric, good to hear from you again, and thanks for that question. Yes, I mean the reality is this -- you hit it on the head, this is a timing issue related to reorders and new orders of -- pretty substantial orders, by the way, for new regions in club space, that's primarily what drove this. Similar, because we only have a couple of customers that we ship to that distribute them to the rest of the retail space, that being, of course, UNFI and KeHE, we did experience a little bit of a timing issue there, too. What we're seeing is we have really healthy sell-through, and we just had a timing issue that kind of caught us a little bit off. I think we're being a little bit -- as we go into Q4, we're also being a little bit cautious looking at timing there, too. And everything is just -- it's turning well, and the results look great. It's just moving a little bit slower than we expected with regards to when replenishment schedules come and the inventories that are being carried. And I think there's some rebalancing of inventories that took place also especially with the retail distributors. So we're taking a cautious eye towards that. It's -- for us, it's impacting Q3, Q4, but we don't believe that there's long-term impact from -- in any of those to the long-term health of the business. We think that the business is still exactly as it was. In fact, we continue to gain momentum, especially in that club space. So we think we're exactly where we thought we'd be, just off by -- broadly exactly where we thought we'd be, just off with a little bit of timing.
Eric Des Lauriers: Yes. Yes. No, that certainly makes sense to me. And yes, I mean, at this size and the size of the orders, certainly, this dynamic isn't unique to you guys. I just wanted to sort of zero in on Q3 versus Q4, but I got what I need to know. Next question, I suppose is somewhat related. Last quarter, the 750-milliliter product, Refresh, had some nice impact on shelf space and velocities. I just wanted to sort of check in and see how those sales are trending? And any sort of early indications on how you might think of this protein beverage as well? Obviously, not out on shelves yet, but just curious how you're looking at that as well?
Jason Vieth: Yes. Yes. Great question. I'll take that one again and probably try and hand everything to Anya from here, she can work out her vocal cords. So on the first piece with regards to the 750 ml, the upsizing worked about as we expected. When I go look at the data now, what I can see are a decline in units and a commensurate increase in dollar sales relative to the resizing that took place. Recall, we went from 500 ml to 750 ml, so up 25%. And we saw units shrink down just about that much on a velocity basis and sales basically hold from a velocity perspective. So it's kind of -- I'd give that one -- maybe I'd grade data, a checkmark at this point, don't really get to an A to F scale because we're going to go right back into it again. We -- that was a 9-month exercise essentially. And as we mentioned, we're leading that co-packer completely and moving to just an incredible formulation in a better package that's 100% organic that we think is really poised to make wave. So we did what we had to on that one. We had to play some catch up, as you guys know, because we had lost some distribution of small accounts right out of the gates and put a lot of pressure on our broker to make that up. We're just getting to where they've made it up and then we're going through the transition again. But we've got all the battle scars on our backs, and we're going to make sure, as we go forward, that those lessons get applied so that we don't relive Groundhog Day on that one. We feel like we know exactly what we need to do. Our broker is very clear. The communication is there. We're into that transition now. In fact, you can find us on a couple of selves already with the new post-consumer recycled plastic bottles, 100% organic formula, great tasting, super healthy creamer at Whole Foods and a few other retailers already. And we think -- we don't have any returns on that yet. It just hit the shelf in the last week, but we think that's going to be dynamite. So we're where we expected to be. When I look at -- if I look at the scanner data, we're right on it, in fact. And so kudos to the team for its forecasting. It just took us longer to get here than we thought it would take. So we finally got caught up, and we'll hold that from here.
Eric Des Lauriers: Great. I appreciate that color. Next one just a bit of like a high-level question. So coffee prices obviously at record highs right now. On the one hand, I could see that having a negative impact to volumes of coffee-adjacent products like creamers; on the other hand, it may have a tailwind to coffee alternatives like your mushroom-based coffee and a functional copy. So just curious what you're seeing from a sort of macro impacts on your different product types here? And just kind of how to think about the impact of elevated coffee prices on your business?
Jason Vieth: Yes. It's -- this is on our mind pretty constantly, probably everybody in the category. We have done a nice job of acquiring our coffee throughout 2025 to put us in a position to be able to hold the line on price so far. And so we've not -- we've taken in total, I think, $1 at retail in the last few years. And so we're in a position where if coffee continues to climb like this, and we have to make purchases into that headwind, we may need to touch price. But by holding -- and we were a little bit premium price coming in. But by holding price through that time, I think we've been able to capture a lot of volume, and we've been able to gain nice distribution points as well by partnering with retailers to be a strong premium yet not ridiculously priced play for them. And so it's been good for us. I think on the creamer side, we've certainly seen creamer slowdown. We know volumetrically, there's got to be a slowdown that's obvious, but there's still so much share for us on the coffee -- in the coffee category for us to be able to take and we think we have just an incredible proposition with a high altitude peruvian organic coffee with functional mushrooms at the price point that we're at. And so far, what we're seeing is we're being rewarded for that.
Eric Des Lauriers: That's great. Congrats on the continued strong wholesale growth, and I appreciate you taking my questions.
Jason Vieth: Thanks, Eric.
Operator: Next question is from the line of Nicholas Sherwood with Maxim Group.
Nicholas Sherwood: Can you talk about some -- what you've seen in limited time offer products? I've seen the pumping spice creamer on the shelves, I was kind of just want to see what you've been seeing from retailers and consumers when it comes to those products?
Jason Vieth: Yes, what we've seen is that there's -- it's been a pretty good pumped in year, it looks like across the category. We got a late start with one of our key retailers, just kind of a weird operational SNAFU, but we've done really well. We're catching up on that as well. So for us, it will end up being a pretty typical year. It's not a big part of our business. In fact, I think in the future, it's an opportunity for us, and we are selling aggressively as we move from this year in that space. But we sold out early in almost all retailers. I think we call it a really successful year.
Nicholas Sherwood: Okay. Perfect. And then switching gears, looking at e-commerce. How -- what is the strategy for the Amazon sales to start replacing some of those lost DTC sales? And is that something that we can kind of expect to see more in 2026? Can you kind of just walk me through what kind of strategy you're seeing there right now?
Jason Vieth: Yes. Yes, great question. So the 2 key strategies that we have from a sales perspective are: one, to take our products to retail. When I got here a couple of years ago, we were a very small portion of retail business, and we're now about running around 50-50. And we expect over the next couple of years that to grow and approach 2/3, 1/3 retail to online business or wholesale to online and then only grow from there. So our expectation is that we become more wholesale-driven over each year as we go forward or at least over the period of a couple of years. Within online, we expect that we become more Amazon than we do wholesale and -- I'm sorry, more Amazon than we do DTC. The problem with Amazon from an overall growth and pricing perspective is, you really have to watch to make sure that you're priced in line with the rest of retail. So we've done that. As a result, we've seen strong growth over the last couple of years. It slowed down most recently, and we hear that that's pretty much an industry issue right now that Amazon has slowed across the food space for most brands. We have some good strategies that we're tweaking right now to implement against that, reapportioning spend across various top and bottom funnel drivers at the site and then driving -- using our awareness to drive folks back to Laird when they get to the Amazon site as well. So we feel good about the future of Amazon. For us, DTC is really intended to be a place where consumers can go to find a full breadth of product, they can sign up for the broadest offering of subscriptions and they can get education, especially as it relates to Laird and Gabby and what they eat and how they -- basically, how they run their lives from a health and wellness position across the, I think, physical, emotional, spiritual dietary spectrum. And that's what it's played out for -- over the year for us, rather. So if you think about the next, I would call, a couple of years, we would expect DTC to be fairly flat. We had a great year last year. This year is a little bit more challenged over the course of the 2 years. I think it's close to flat. And as we go forward, that's really our intent. The growth driver of online should be Amazon and then the wholesale business for the entire company. So for us, DTC plays a more marginal role as time goes on.
Nicholas Sherwood: Understood. And then my last question is talking about this new protein coffee. It looks like a really big opportunity for the company. Can you sort of walk me through what you're thinking for the strategy on activating that new product? Are there specific regions, specific types of consumers that you're looking to reach or specific retailers that you're partnering in the early stages of this product activation? And are there any early learnings that you've already had kind of in the early stages of bringing this to market?
Jason Vieth: Yes. Great question, and I apologize at the same time to Eric, I forgot to answer that when he'd asked that earlier as well. Yes, we're really excited about this product. This is our first foray into dairy. I think you guys have heard us in the past talk about Laird and Gabby's diet being omnivorous in nature. This is an area that we've always intended to go as a company. It also happens to be the 90% to the 10% that is plant-based, so it just opens up an incredible market for us. This protein coffee product, this has been a really big trend on TikTok for a long time, putting the protein powder into the coffee, and we're excited to bring it to market. We've basically taken the highest quality freeze-dried coffee -- cold-brewed freeze-dried coffee that I've ever tasted. It is so smooth and fantastic, put it together with a pretty unique blend of dairy proteins, I won't go into details for competitive reasons, but it's pretty unique and the ability to get it to blend and froth as a cold beverage is really unique and it tastes great. It's a product that is great for anyone seeking protein, but it's really on trend right now with what's going on with GLP-1. And as folks are having to find high protein products to supplement their loss of protein and overall calories. So we feel like we're right on trend with this product. We've got a really -- we have a partner for a very early big launch, so we'll be putting shippers on their floor and the retail space will come back and talk about that next quarter. So coming out of the gates really strong there and then seeing some good pickup for permanent placement as well. This will be a product that we launch online simultaneously to putting it into the stores, so you'll see it in DTC, on Amazon and out at retail. We're going to support it with some third-party social influencer groups that help to really get the brand out and run a 360-degree campaign on this, where we'll bring in retail activations with that influencer work that I just mentioned, some organic marketing that Laird and Gabby will execute, we'll put onto our website, and then we have strong TikTok execution behind it as well. So you'll really see bring probably our strongest launch effort in my tenure here at Laird to this product. And hopefully, we'll see consumers respond in kind. So we'll make a big deal out of the fact that we're getting into dairy. Yes, we think that, that will be really well received. It's very clean product, as it always is for us. And I think it's a real market-changer with regards to delivering a great taste with that nutritional profile in this category.
Operator: Next question is from the line of George Kelly with ROTH Capital Partners.
George Kelly: A few questions for you. First, just to follow up on that prior question related to the protein coffee that you're launching. Do you anticipate launching additional dairy products as soon as next year and what might those look like?
Jason Vieth: Yes. Great question, George. Thanks for that. We do. We're working on a platform right now to make this much broader than just a singular product that we bring out. We think that there's opportunity across a number of products that we're probably not ready to go into at this point, George, but you can imagine that there are really 2 vectors to that. One is in the dry category space where we see additional opportunity to expand this line and potentially take it into very close but adjacent lines that we're in today. So you can probably surmise a pretty good guess against that. And we also see the opportunity to take this into liquid products. And so we've been working to develop both of these. We think that protein is very important. We believe that we can bring a cleaner protein, not only the protein source, but the ingredients that surround it than what you see at market today and that we have the brand to do that. So you will absolutely see additional dairy products. And yes, we would expect them to come to market over the course of the next 15 months.
George Kelly: Okay. Okay. That's helpful. And then the conversation in response to one of the questions just about the sort of how you're going about the instant the protein coffee launch. I was hoping you could do some kind of similar with the new liquid product. And I guess what I'm trying to understand, it's just so hard for me to try to quantify what the ramp could look like and the implications on the model and consolidated growth for the next few years, et cetera. It's just such a big category and such an important category and you've had kind of varying success there historically. So I guess if you could help at all just with what the distribution plan is? Have you lost any distribution points versus the prior formulation? And do you anticipate a lot of promotion behind it? Or just any kind of context you can give about that launch?
Jason Vieth: Yes. Yes. Thanks, George. That's another very good question that I wanted to speak to a bit more. So yes, what I would tell you is this: We lost some distribution early on in that transition, as I mentioned. We've largely recovered that. I think we're just about right back to where we expected to be and regained what we had lost. I don't think we've got the right product or proposition in the past. At the 500 ml, we were a little bit too small. We went to 750 ml, I think there was a self-inflicted wound there, if I'm honest, in that we went to 750 ml, and we really didn't capture the consumers, didn't really highlight plus 50% more now at a better price. And so there was a value question. I think people just got confused as we made that transition in general. And so what you'll see now is a very different product that's appearing. I mentioned that plastic bottle that is already recycled and lived one life, which is very important to our consumers. We're highlighting that story. It's 100% organic. That's very important to our consumers, especially in the Natural channel, we're highlighting that story. There's no more cane sugar in there, it's now all coconut sugar. There's no more coconut oil, it's now all coconut cream and the product tastes unbelievable. And so -- and we've added more mushrooms as well. So it's a more efficacious dose of the adaptogens. So there's a lot there to tell and it takes to -- exactly to your point, it's going to take a bigger marketing activation to do that. So that is absolutely underway. We haven't started to execute, we're letting some of the distribution rollout before we do, but you'll start to see that come out very soon with activations, specifically linked to where we picked up the distribution already. That -- all those transitions take place over the course -- most of them over the course of the next 2 months, so into January. Just a couple of small laggards after that. But retailers are really excited. They wanted to get on board, a couple of them cut in ahead of their planned changeovers. And so we -- I think we are really in a fortunate position to be able to turn on marketing in a big way here as we close out this year to start January. So you'll start to see that very similar to what I described. With the protein coffee, you'll really start to see that come to life here over the course of the next few weeks. And relative to the size, you're exactly right. I was having this discussion earlier today with an investor and the reality -- or actually, it was with our Board. The reality is this is a category that's over $6 billion. It's largely comprised of products that contain 4 ingredients. The only healthy one of which is water. We're mostly transporting water and the rest is sugar, bad-for-you oil, hydrogenated oils and chemicals. And there's this incredible opportunity to reinvent, and we just haven't had the right proposition, and I think we do now. So we'll activate early, get the early reads, figure out where we are. And then I hope that we're able to really press this one in a big way based on the feedback that we get in the marketplace.
George Kelly: Okay. That's helpful. And then 2 last questions for me. Tariffs, what's the impact this year and the expectation for next year? And then the second question is on Club. I was curious if you have any significant promotions planned in the next quarter or 2? And that's all I had.
Anya Hamill: George, this is Anya. So I'll take the questions on tariffs and club, and then Jason, feel free to add anything. So the tariff situation is very dynamic, and we are assessing those kind of as it unfolds. I think Jason mentioned earlier or maybe on the prerecord that we have some favorable developments as far as some of our key raw materials now being excluded from the tariffs such as coconut milk powder, so that was good news. We -- but it's still very much kind of unfolding and emerging. We started seeing the tariffs impact in Q3 and so you see that reflected in our gross margins. Anticipate kind of similar dynamic to continue into Q4. And then we are developing our plans for next year and evaluating what the action items that we need to take and pricing could be on the table if we need to, but our intent and goal is to continue holding the margins in the upper 30s, so even with the additional tariffs and the commodity costs. So that's on tariffs. And then with regards to club, we had a great success in club this year, and we have a strategy, a rollout strategy with -- to support the new regions, distribution and new products, and we intend to continue executing on the strategy in Q4 and into next year.
Operator: There are no additional questions waiting at this time. So I'll pass the call back to the management team for any closing remarks.
Jason Vieth: Yes. So look, it's -- I think we all know the headwinds that are in the consumer and overall in the consumer economy right now and the challenges that others are facing throughout this year and kind of only magnifying more recently. We're really excited to still be growing this business in the double digits, and we believe we're in a position to continue to do that next year and for future years to come for quite some time. We have a lot of white space. We have an incredible portfolio of products, and as we -- and an incredible team. And as we look to the balance of this year and into next year, we're still incredibly optimistic that despite any headwinds that have emerged and will continue to emerge that we're going to fight our way through and stay at the top of it. So thanks again to everybody for being a part of the journey and listening to the story again today, and we look forward to seeing you in a quarter.
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.